Operator: Welcome to the Fastenal Company’s 2008 quarter three earnings conference call. (Operator Instructions) Today’s call will be hosted by Will Oberton, Chief Executive Officer and Dan Florness, Chief Financial Officer. The call will last for up to 45 minutes. The call will start with a general overview by our Fastenal hosts Mr. Oberton and Mr. Florness. The remainder of the time will be open for questions and answers. In interest of time we ask that you please limit yourself to one question and one related follow up only. As a reminder certain statements contained in this presentation that are not historical facts are forward-looking statements and thus perspective. These forward-looking statements are subject to risks, uncertainties and other factors which will cause actual results to differ materially from future results expressed or implied by such forward-looking statements. More information regarding such risk factors can be found in Fastenal’s quarterly and annual SEC filings. At this time I’d like to turn the call over to Will Oberton.
Willard D. Oberton : Dan and I are happy to report another solid earnings quarter or growth and earnings for our third quarter 2008. We’re happy about that. Today when we’re speaking, the numbers we’re going to be talking about are taking out the $10 million charge for the class action suit. We’re trying to normalize the numbers so we can talk in a comparison over last year’s. So, when we talk about growth numbers and earnings numbers we’re looking at it that way. As far as the sales trends, basically through September we have seen pretty much very little change in our sales trends. Our older stores continue to comp very positively. It was slightly lower in September but that was against a much more difficult comp in September of 2007. So, although we continue to invest at a higher level to grow our sales faster, it seems very steady as we go. We’re going to continue to push hard to improve that number. We had another strong quarter on the margin. At the risk of repeating myself, I’m going to list the same three factors. The first, and I think the strongest factor to our margin improvement, our largest factor would be the outside sales program, reminding you that most of these people are calling on the small to medium size customers. That program is going very well and on the average it carries about a 4% margin premium over the rest of our business. So, the outside sales people calling on small customers out growing the company and carrying a much higher margin. Second, is our pricing discipline, we continue to work very hard on that walking away from business that doesn’t make any sense to us and doing a better job of that than we’ve done in several years. The third would be inflation to a lesser degree. The reason we don’t get more out of the inflation is we run these 2,300 stores like independent businesses. The store managers have a lot of discretion and they’re not going to push pricing increases until the costs go up to them and it starts pinching their bonus program so it’s a very natural market condition which prevents us from getting a lot of help on the way up but, it also helps us on the way down as things soften up so we think it’s a good system for our company to use and has worked well over history. From an expense standpoint, we did a good but not a great job. The fuel and utilities continued to beat us up pretty hard. I know fuel dropped off in September time frame but there’s always a lag to that so it was still very high year-over-year. Our incentive pay was up nicely which is a positive because of the higher gross margin and similar sales growth. Our travel airline expense, mainly for training and sales events jumped year-over-year very sharply. That was due to the higher fuel price and higher airline tickets. But, it really jumped up in the last quarter, in the third quarter. Then, we had the legal fees from the class action suit, that added about $400,000 in the third quarter on top of about $700,000 that we had absorbed in the second quarter. That was in there that we didn’t have last year. Some positives on the expense, we continue to do a great job on our freight program and the people who run that, the group that runs that, they’re really pushy. I get complaints almost regularly from other people in the company, “Tell those guys to quit emailing us.” I say, “I just want to find more people like that, that are willing to push so hard to make the program work.” Dan and his team have done a nice job along with our HR group on our insurances. That is not growing like the rest of our business and for years it outpaced the business so it’s a happy, good relief there. Then, we’ve done a nice job, I believe the folks have done a nice job on base labor increases. Our headcount is not growing as fast as sales, especially in the support area. So although our incentive pays are way up, the base labor is growing much slower which will help us if things do slowdown in the future. We’re not predicting that but, if it does happen, if the economy slows in the next three to six months we have a lot lower base labor that is growing much less. Overall, from an earnings standpoint I think we’ve done a very good job in somewhat tough times. I think that just points to our continued confidence in our pathway to profit program that we really think we made a good decision, that our team has made a good decision in rolling out the pathway to profit and developing this new model for strategic growth. I’d just like to point out a couple of things on the pathway to profit and then I’m going to turn it over to Dan to talk about some of the expense and asset areas. But, if you look at the charts that we sent out with our press release, on page 3 of 7, last year we had 189 stores that were over $150,000 in revenue. This year that number grew by 42% to 269 stores. Now, looking at the average size of those stores, they’re each producing about $150,000 in operating profit per quarter. We have 73 less stores in the bottom category that are losing us money so it’s a little bit like musical chairs. Every store moves over one group. But, if you take those 73 stores out of the bottom, take them right to the top, it doesn’t actually work that way, that’s really the key to pathway to profit. Everybody moves up a level, profitability moves up and not only do we have more stores in the higher category, the top category, the stores over $150,000, their operating profit went from 26% in the third quarter of 2007 to 28.3% in the third quarter of 2008. So, they continued to improve, more stores are in to the category and it’s real simple. We’ve taken about half of our growth dollars, the way we use to do it and we’ve deployed those in the older, more profitable stores so when we do grow the sales in those stores, a far higher percentage of it drops to the bottom line because they’re just more efficient businesses, they’re better ran businesses. From a future standpoint looking out there to where this thing can go, we still have about 88% of our stores in the lower categories and I believe most of the markets that we’re in support that $150,000 per month store or even greater. So, we’re just going to continue to invest in growing all of our stores but really focus on the medium to large stores as far as our growth investments. We’ll focus on all of them from a growth investment standpoint, it’s put the sales people in the best stores and watch them grow. With that, I’m going to turn it over to Dan and then we’ll open it up for questions. Thank you very much.
Daniel L. Florness : Thank you for joining us on our call today. I’ve a number of points that I’ll cover. I think this will probably be one of our shorter calls because we laid out quite a few pieces in the earnings release and don’t anticipate a ton of questions, but we’ll see how that plays out. A few things I wanted to touch on, first off in the first paragraph we touched about the legal settlement. That cost us about $0.03. The cost of that $10 million settlement was reduced, as we disclosed in the earnings release, by about a $1.8 million reduction in profit bonuses paid out. I’ll talk to those profit bonuses a little bit. Roughly speaking, it lowered our district manager bonuses about 25%. It lowered our regional leadership bonuses by about 30% and it lowered our national leadership bonuses by about 40%. Again, that was driven by the profit side equation. One point I’ll make that while nobody in the organization was pleased with the settlement, was pleased with putting this issue behind us, or pleased with seeing their bonuses amounts reduced from a leadership perspective. It’s also a case of I have a certain pride in the fact that while there were a handful of board members that talked to me and said, “Boy, that’s a pretty harsh impact.” My response to them is, “Yes, it is and so was the $10 million settlement for our shareholders.” I think it’s an equitable treating of the program and don’t lose sight of the fact that our leadership is rewarded well and feel the pain when the profit growth does not occur. I think that’s something to be cherished, especially in this age. The second thing I’d add is while it did cause our bonus and labor numbers to drop by $1.8 million, there was no impact felt at the store level. Store level, as we’ve talked about in the past, is more about sales growth but more importantly gross profit growth. Whereas, that wasn’t impacted at all due to this. Our store personnel did not feel any impact. I think that’s important to know from the standpoint of the built in cushions, the built in measurements within our business that reward all of our personnel for sales, gross profit and pre-tax profit growth. But also provides some cushions in the event that any of those numbers are impacted negatively either by the economy, or in this case, by an event during the quarter such as this legal settlement. If I look at our store pay, it represents about 65% of the payroll for the company. One item that we did this quarter that was a little bit unusual and that is we did release our September sales numbers early. We did that, as indicated in the release, to let our shareholders know what had happened in our business since September. In this chaotic world we’re living in right now it’s nice to see some normalcy. And, when we get to end of fourth quarter and in to next year, we will go back to our typical pattern of releasing monthly sales numbers after the first and second months of the quarter and will not release until our earnings release the third month information. On store openings, it is still our intention to open 7% to 10% new stores this year. We will continue to push to add individuals in to the OSP position. And, on the administrative support side, you can expect to see that number hold steady through year end and in to the first few months of next year or drop slightly as any attrition will in virtually all cases not be replaced until we start getting in to next year and have a little more feeling for how the year is progressing. Pathway to profit, Will touched on all the points. One item I would point out again, we indicated both the impact before and after the $10 million settlement. Hopefully it was in an uncluttered fashion and again, we continue to see the morphing of our store mix as we had laid out last year and as Will touched on several minutes ago. Fuel prices, as Will touched on have moderated. During the quarter, our average diesel cost were approximately $4.38 a gallon. As of last week that diesel price nationwide had dropped to $3.88 so that gives us a nice tailwind coming in to the fourth quarter and in to the early part of next quarter as it relates to the impact of diesel. Those dollars are all in cost of goods. On the gasoline front, going in to our store delivery vehicles and our sales vehicles, that price for the quarter averaged $3.85. As of last week it was at $3.48 and I anticipate both of those numbers have dropped since last week. Looking at the operating expense side of the equation, I’ll just touch on some points and run through them fairly quickly. As we indicated in the sales release, sales grew at 17.1% for the quarter. Adjusted for days, that’s 15.3%. Our payroll numbers grew, as I indicated, 14.2%. It would have been at 15.9% with the $1.8 million added back in. Support labor count going in to fourth quarter again, we anticipate no additions. In fact, the number is probably dropping slightly as we go through the balance of the quarter in to next year. Insurance, this is looking at general and health combined, we did see a leverage on that this quarter. That was against a fairly difficult comp looking at the third quarter of last year, 14.4% was our growth in insurance. Occupancy, we continue to push hard on occupancy especially as it relates to we’re through the CSP process earlier in this decade and are really pushing hard to gain leverage there. One step I would put out there, and I’m proud of our district managers and our regional leadership for this fact and that is when I look at the stores opened during calendar 2008, and compare it to stores open year-to-date in 2007, so I’m really looking at we have a good chunk of stores opened thus far this year versus a good chunk last year. Our average rent paid on those new store we’re opening is about 15% below what it was running last year. What that tells me is that there are opportunities for good values to be had in the real estate market in today’s environment. Our district and regional leadership are taking advantage of them. It also puts us in a lower base of expense going in to fourth quarter and more importantly in to next year and we are continuing to challenge that on all new store openings, on all store relocations and pushing hard on lease renewals or as we’re approaching lease renewals to negotiate very aggressively. Again, in exchange for a good tenant that has the ability to pay cash and will be here two, three, four years from now, a lot of landlords are very interested in that because cash is very precious in today’s environment. The bad debt, a little painful in the quarter, a little painful year-to-date. What I can tell you is we’re taking a very aggressive stance on accessing collectability of receivables and we’re really doing that for a number of reasons. Probably the most important, a lot of our employees at the store levels, a lot of our employees at the district level might not have been in their role back in 2001 or back in early 1990s when you saw a very weak environment. We want to stay on top of our accounts receivable portfolio and I’m pleased to say when I look at our ageings and I look at the overall quality of receivables, they’re in very good shape and we have a very good monitoring program for them. On the other front, as Will mentioned, the operating expenses contained that $10 million legal settlement and about $400,000 in legal costs. Those legal costs are behind us as we go in to the fourth quarter and as they were incurred early part of the quarter and there isn’t any tail to that of cleaning up. From a working capital standpoint, just some general thoughts, as it relates to inventory, I was a little disappointed in our number, I think we should have been about $10 million lower where we ended up the quarter. Some things I’ll throw in there that did cause the third quarter to increase, we did take advantage of some opportunities to beat some price increases to get some pricing on certain products. Those dollars and the inventory added will trickle off as we go in to the fourth quarter and in to the first. It’s not a case of we changed the trend pattern, we took advantage of some dollars to stay ahead of some price increases. If I look at that overall increase from last year, about 40% of the year-over-year increase is driven either by new store openings or by inflation in the underlying commodities. On the accounts receivable side, the accounts receivable grew 19.5% year-over-year. Probably the biggest point I can make there is the accounts receivable at the end of any period, at the end of any quarter, at the end of the year are driven by the last 30 to 40 days of the quarter. As you saw, with the added business day in September, we had growth in September of about 26% and that translated in to accounts receivable growth of about 19.5%. It’s very important to make that connection that it’s not about the average days of pay changing, it’s really a function of the calendar. Some housekeeping items, I touched on briefly and hopefully this will avoid having to cover it on a question, in our supplemental data, we did not include the large customer information largely because we had reshuffled some of our business units and the numbers weren’t as meaningful. We believe those numbers are in the low double digits as far as growth. Will touched on some [OSP] information, hopefully you found that useful. Going in to fourth quarter there are some changes to the calendar I’ll point out. In October we’ll have 23 days which is a push to October of 2007. In November we’ll have 19 days which is a drop of two business days from November of 2007. In the final month of the quarter, December, we’ll have 20 business days which is an increase of one over prior year. So, the day we picked up in the third quarter will be given back in the fourth quarter as we’ll have 62 days versus 63 a year ago. With that I’ll turn it over to the operator for the Q&A session.
Operator: (Operator Instructions) Our first question comes from Sam Darkatsh – Raymond James.
Sam Darkatsh – Raymond James: Two quick questions, first off you made a mention in the release of the budget effects of some of your customers in September with a different business day count. Can I then infer from that, that what you’ve seen in October which would be a month that has the same business days year-on-year that your sales from existing stores has improved from the September levels?
Daniel L. Florness : Really our point to putting it in there really gets back down to the dampening effect that you see in the daily average when you have added days. It really doesn’t infer anything to October however, since October, as I mentioned a few minutes ago has the same number of business days, we would expect this to have no impact in October going in to the month.
Sam Darkatsh – Raymond James: Right but you had a dampening effect in September so all else equal October would be better than September in a vacuum?
Willard D. Oberton : The dampening effect is purely on a daily rate not on an absolute sales dollar number.
Sam Darkatsh – Raymond James: Okay so have you seen October be similar? You said that the sales rate through September were fairly similar, is October a similar sort of run rate on a daily sales basis?
Willard D. Oberton : We don’t comment on months in the middle of the quarter. Dan and I have made that mistake a few times before and every time we say it’s positive we end up the other way so we think we’re jinxing it when we bring it up so we’re really just commenting through September at this point.
Sam Darkatsh – Raymond James: My follow up question would be your store personnel and distribution manufacturing full-time equivalents fell sequentially from August to September. Is that just a funky way the month was playing out or how should we look at that based on pathway to profit and your inclination to add as many sales people as you can?
Willard D. Oberton : Really what it is, is that schools starting up, we have a lot of part-time people in our support system and if you look historical we’ll lose, many years, we’ll drop in September from August because we lose a lot of people going back to school and then we replace them in the September/October timeframe. It’s kind of just a natural dip based on who we hire and when we hire them. There’s really nothing to be read in to it for September.
Operator: Our next question comes from Jeffrey Germanotta – William Blair & Company, LLC.
Jeffrey Germanotta – William Blair & Company, LLC: We’re all a little nervous about the economy right now with all the heightened economic uncertainty. Can you talk about if you saw a slowing, what tools are in the toolbox and actions would you take to prepare for a different environment going forward than perhaps you’ve seen in the recent past?
Willard D. Oberton : Well, we’re already because we’re going in to the fourth quarter which is always a slower period, we’re already looking hard at everything we do. We’re slowing down some of our travel. As Dan said, we’re not going to add any support people throughout the rest of the year until we get better clarity on where the economy is really going from our standpoint. We have the flexibility or as Dan put it, the cushion built in to our labor model so as sales growth slows the bonuses, the incentive pays drop dramatically. So we have that going for us. If things get real ugly, then we start looking at store openings. One thing that we have going for us today that we wouldn’t have had seven or eight years ago in a slowdown is our pathway to profit and the proven strategy of outside sales people. We may be a little quicker to pull back our store openings then we would have in the past, continue to add the sales people and when the economy picks back up drop the brick and mortar in to the zones and the business is already there and growing. So, we’ve talked about a lot of different things but, we’re very, very committed to grow our company and grow our earnings. Because, as you know Jeff, if the earnings don’t grow there are a lot of people within our organizations who’s bonuses aren’t going to grow. So, we’re very committed to making it happen going forward in any environment.
Jeffrey Germanotta – William Blair & Company, LLC:  A follow up to that, have you estimated the sales growth rate that represents the inflection point between positive earnings leverage and negative earnings leverage? And, how low does that go this cycle versus perhaps the slowdown we had in 2001?
Willard D. Oberton : It’s much lower than the slowdown we had in 2001 because we’ve made so many changes. I believe in 2001 it was about 19% to 20% which is actually down from about 26% to 28% in the mid 90s. Today, we estimate that level in the very low double digits, 10% to 11%. We did some modeling on it about three to four months ago and not much has changed. Some of the things that are going to change that Jeff are what happens with fuel, utilities, things like that and how quickly we would pull back store openings. Because, behind labor, occupancy is our second biggest expense. So, it’s below where we are by probably four points. Wherever our growth is today is what I mean.
Operator: Our next question comes from Holden Lewis – BB&T Capital Markets.
Holden Lewis – BB&T Capital Markets: Can you comment on the impact of pricing on the quarter? But also, I know that you put through several price increases, I think you had another one queued up for the end of Q3 heading in to Q4, can you talk about sort of the status of that price increases as well as the impact on the quarter?
Willard D. Oberton : The impact on the quarter is very similar to what we had in the second quarter because our September 1st price increase was the lowest one that we’ve had in the year. Not that we’ve seen anything going down yet but, the increases have flattened out or softened so we decided not to push any harder than we had to. It looked like maybe we were getting close to the top of where it was going to go. So, we’re saying – I believe we stated three to four points in the second quarter and we’re still very comfortable with that. That’s about where it is. Part of the reason it hasn’t grown as much is the anniversarying over ’07 increases with the RMB inflation or the Chinese tax changes or subsidy, whatever you want to call them, it’s basically what it is. Going forward, it’s a little bit murky but steel prices have dropped in the last month or so on a world market. We believe that will be coming through. What we’re actually doing right now is we’ve slowed our purchasing down trying to see where it goes. We don’t believe prices are going to go up so we’ve said, “We’re going in to the fourth quarter, we don’t need as much product.” Our sales will be down slightly. We’ve pulled our purchases back just a little bit, don’t do any speculation and if prices drop we can take advantage of it and turn our higher priced inventory more quickly. And, as you saw in our margin numbers, we’ve been able to pass the higher prices through very successfully as we go through the inflationary period in the first three quarters of this year. Do you want to add anything Dan?
Holden Lewis – BB&T Capital Markets: Sort of following up on that, your SG&A growth, your SG&A expenses have grown at a rate faster than revenues the last few quarters and that has been offset nicely by the gross margin also going up. But, part of the gross margin I guess is a function of the accounting treatment for your inventory and so I guess I’m kind of curious, when you look forward to 2009 in an environment where you’re going to sort of catch up on the accounting treatment and where pricing isn’t going up any further, is there a natural sort of offset to SG&A wherein if gross margin comes off because of that accounting treatment that SG&A [inaudible] sales ratio should also come off? Or, should we be concerned that maybe some of the impetus for gross margin increase is going away in 2009 and yet the SG&A level is so high?
Daniel L. Florness : A few things I’ll throw out there. When Will was talking earlier, he talked about the drivers of the gross margin expansion being three things: the outside sales program; the discipline in pricing in general; and then the impact of inflation. He listed them in that order for a reason, inflation is the smallest impact. When I look at going in to – you know the added pricing, that’s in our cost today. It’s been working in to our cost over the past 12 months because of our FIFO accounting. But, as you look in to what offsets there are, the biggest one relates to the store pay because the store pay is linked directly to – it’s a sales growth driven formula but it levers up and levers down based on gross margin. So, 65% of our payroll dollars are physically at the store and that has grown well above company sales numbers for really the past four or five quarters but especially the last three. That’s a cushion that’s built in, a cushion we prefer not to use but it’s a cushion that’s built in. Just like on the profit side you saw that bear out this quarter, the profit bonuses paid on the support side, whether that be at the district region or national level, had a cushion built in on the profitability.
Willard D. Oberton : There’s one other point that I would throw in and that is about 40% of our product movement cost that goes in cost of goods is outside carriers. That will go down if fuel goes down, that will go down if the economy slows which will improve our margin. And, our internal costs will go down as fuel drops so that will also improve our margin. So, there are forces in both directions, we think on the whole it will probably equal out to normalize about where it is.
Operator: Our next question comes from Adam Uhlman – Cleveland Research Company.
Adam Uhlman – Cleveland Research Company: I guess the first clarification is what was the FIFO benefit to gross margin in the third quarter that you can tell Dan?
Daniel L. Florness : You know, what we saw earlier in the year is that it was running about 50 basis points. We’ve pegged that number right now somewhere between 30 and 40. It’s dropping because product turns about six months so the prices we were paying in the early part of this year were going through cost of goods in the third quarter and so you’re probably still looking at 30 on the low side, maybe 40 on the high side. But, that number is moderating.
Adam Uhlman – Cleveland Research Company: Then could you talk about the company’s sales growth trends across MRO customers, OEM customers and your non-residential construction customers? What did you see through the quarter?
Willard D. Oberton : What we saw through the quarter is the MRO business continues strong. The construction business remains strong because most of our commercial construction business isn’t building office towers and things like that, it’s working in the energy industry. Wind energy is doing very, very good, general petroleum down in the Gulf Coast, we’re doing great up in the Edmonton area in the oil sands. So, those areas are all going well. We also do a lot of commercial construction on road and bridge work which the government is till spending pretty heavily. The only area we’ve seen weakness is really the large industrial companies and Dan had stated earlier that our large business we estimate to grow just over 10%. And, I’m not sure if that’s a slowdown in business which it may be but I think some of it is being cautious. I’ve actually had the opportunity to be in the offices of several of our large customers in the last probably six weeks and most of them are saying, “Business is pretty good.” It’s kind of knock on wood cross your fingers mentality. They’re visibility isn’t great either but overall their business still remain pretty strong with a very cautious tone.
Operator: Our next question comes from Michael Cox – Piper Jaffray.
Michael Cox – Piper Jaffray: The mix of fastener sales moved higher in the quarter which I’ve usually thought of associated with stronger economic conditions. Can you explain this mix shift in the quarter?
Daniel L. Florness : It did tick up slightly. You know, it’s hard sometimes to really peg that. You’ve seen it tick up in consecutive quarters now, this is the third consecutive quarter now where it ticked up and there’s certain things that assist it. I think the OSP program quite frankly is part of the reason because you think about a new person selling, you’re going to sell what you’re best at. You’re going to sell what you really have great supply on and where you can differentiate yourself. The people you’re talking to, where you can gain the most experience. I look at a lot of the training materials that we provide through the school of business and you really see the wealth of knowledge that we have in that fastener area. So, I think that’s a piece of it because as you see the inflation impact which has been a driver of it, has been moderating as we look at it sequentially.
Willard D. Oberton : I think one of the biggest things Mike is that we’re pounding hard on margin and fasteners by far are our highest margin product and so if I could only sell one thing, I’m going to sell fasteners. We are really good at distributing fasteners in to the marketplace and people know that and our stores and outside sales people are pushing it because they want to pay themselves. The run like small businesses.
Michael Cox – Piper Jaffray: A follow up on I guess a unrelated topic a bit, but on sales rep hiring, it slowed down in the month of September. Can you describe your plans over the next three to six months, will that pick back up to the mid teens rate?
Daniel L. Florness : There’s always a natural bias as we come in to the tail part of the year. One of the things that’s caused it to moderate some, the further we get away from April 2007, the comp numbers if you will of OSPs tends to moderate a little bit. Because, the rate at which you’re adding, especially in the last four months of last year are really playing in to the year-over-year comparison numbers. We are continuing to add OSPs, we’ll continue to push hard at OSPs. Probably we’ll moderate some probably similar to the mid teens like we’re seeing now rather than where we were seeing in the upper teens earlier in the year. It’s a function of comp. And, we had also indicated in the past when our growth is nearing 15, the OSP growth is going to be pulling down in that range. If, on the other hand, our daily growth was averaging upper teens, maybe even low 20s, that number would be driving in to the upper teens as well.
Willard D. Oberton : One thing that I would add is we’re in a better position as an organization than we’ve ever been to add outside sales people because over the last year we’ve almost doubled our headcount in part-time associates, people in the stores to about 3,000. So now, in our more mature regions, probably about 70% to 80% of our company, our plan is when we do add outside sales person there’s a greater than 90% chance they will come out of our part-time ranks which allows us to do it much smoother. So, if I have someone working in a store, I know they want full-time work, I can plan it very nicely instead of saying, “Hey I need a job in November. No, if you’d like you’ll go full-time with us, we’ll start you January 1,” which is perfect for us, many people will understand that and they’ll wait for the opportunity. We’ve never had that luxury as an organization before and it’s here because we’ve improved or increased our investment in part timers at such a level that we have all these people out there looking for full-time opportunities. And, considering a slowing economy, there’s even more of them that are going to want to stay with Fastenal to develop their careers. So, I’m very excited about that. I’ve been out to a lot of managers’ meetings in the last couple of months and I talk about it everywhere that this is our future. These 3,000 people are Fastenal’s future. A very flexible work model.
Operator: Our next question comes from Brent Rakers – Morgan, Keegan & Company, Inc.
Brent Rakers – Morgan, Keegan & Company, Inc.: Dan, I just wanted to follow up, I’m trying to understand a little bit more about the sensitivity of payroll and SG&A to the gross margin movements. You referred to I think 30 to 40 bips estimated benefit from FIFO in the quarter to gross margin. Could you maybe translate how much of that impact would have been to increasing payroll cost in the quarter?
Willard D. Oberton : Are you saying if we didn’t have that how much lower would our labor have been? Is that the question?
Brent Rakers – Morgan, Keegan & Company, Inc.: That’s exactly the question.
Willard D. Oberton : Typically, if our gross margin goes up $1, 25% of that goes in to store incentive, $0.25. Then, on top of that, we have district and regional incentives so it’s probably about 35% of that. So, if we picked up 30 bips we would have got 10 of them back.
Brent Rakers – Morgan, Keegan & Company, Inc.: Then just the last question, I think you guys had mentioned this the last couple of quarters, but do you have a number in terms of what the total commission and bonus component was up year-over-year and it may be pro forma for the charge?
Daniel L. Florness : I don’t have that handy.
Operator: Our next question comes from Michael Hamilton – RBC Capital Markets.
Michael Hamilton – RBC Capital Markets: Will, I’m wondering if you can comment a little bit you noted in the September sales data that ISM had surprised you. The kind of gulf that was there leads me to believe that you’d seen some fairly big ticket pull back industrially. Transportation as an example, auto, airlines, etc. where they were pulling back steel purchases. Is that accurate? Have you been able to see enough to get some feel as to why the discrepancy and how that’s likely to play for you?
Willard D. Oberton : We haven’t seen a lot of the big pull back like you described. But, we’re not doing much in the auto industry and places like that. What I mean by being surprised is we estimated our sales, Dan and I, at the beginning of the quarter look when we’re doing our earnings estimates and we believed at that point back in July that September would come in about 13.8% daily growth rate because we had a very good September in 07. Well, we came in at 14.4% so we were actually positive. So, if somebody had asked me where I thought the ISM was I would have said, “It’s probably about where it was 49,” somewhere in there, I think that’s what we had in August. When it came out at 43.3 I was going, “Wow, either we’re doing a fantastic job or there’s something going on in there that we don’t understand.” It may be the hurricanes and some of the energy production. I don’t know exactly how that works. So, my comment was based on our daily trends we were surprised by that low of a number.
Daniel L. Florness : Mike, the only thing I’d add to that is the ISM tends to be a little bit of a peak. It’s a confidence index so it’s a little bit of a peak possibly in the future as well. And, it didn’t really set with, as Will mentioned a few minutes ago, over the last two of the six weeks he’s been travelling and he’s met face-to-face with a lot of our larger customers and we’re just not – I’m not saying things are rosy because they’re not but we’re not hearing the type of dialog or discussion with those customers that would lend itself to an ISM dropping so dramatically.
Michael Hamilton – RBC Capital Markets: Then also Will, on your comments on seeing more caution in the big companies, typically that’s exactly what we’d expect in a slowing environment, correct?
Willard D. Oberton : I think so. But, part of it with the big companies is they’re more cautious by nature because they’re public companies and outside people are looking at them a lot closer. The medium sized companies, if it slows down a little bit, if I still have cash flow, I’m going to continue to hammer away whereas if you’re a big large public company you can’t do that. We’re taking it literally one day at a time looking at our sales numbers, trying to understand what’s going on. Looking at it regionally, we didn’t really see anything regionally in September that points that it’s slow north or south or whatever, it was a very similar trend to what we’ve seen through the last two or three months, or even the last two or three quarters. It’s very interesting to watch because when you look at the ISM you’d think there would have been a big drop in September, there just wasn’t.
Operator: We’ll take our next question from John Baliotti – FTN Midwest Securities.
John Baliotti – FTN Midwest Securities: Just a housekeeping question, Dan I think I may have misheard you, I think you said December this year you have 20 days?
Daniel L. Florness : We have 20 business days. The impact is the 26th which is the Friday after Christmas, we are actually closed that day.
John Baliotti – FTN Midwest Securities: And you’re not – I was trying to use a similar calendar for some of the other distributors, so you’re not open on Christmas Eve or New Year’s Eve either than?
Willard D. Oberton : We’re open New Year’s Eve.
Daniel L. Florness : On Christmas Eve a lot of stores might be open for half a day. New Year’s Eve we are open for the full day. It is the 26th the day after Christmas, it’s a Friday that we will be closed.
John Baliotti – FTN Midwest Securities: So I would count then, if you’re open all the days except for Christmas and the 26th wouldn’t that be 21 days?
Daniel L. Florness : Historically we’ve never counted Christmas Eve day as a business day.
Willard D. Oberton : We don’t sell much on Christmas Eve day.
John Baliotti – FTN Midwest Securities: So it’s more of an accounting, just the way you look at it from a comp standpoint.
Daniel L. Florness : Yes. But, that’s true of all of our historical numbers. None of them include Christmas Eve day as a day.
Operator: That does conclude our question and answer session today. At this time I’d like to turn the call back to our speakers for any additional or closing remarks.
Daniel L. Florness : Thank you to everybody on the call. Hopefully you found this a useful way of peering in to Fastenal and seeing what we’re seeing in the market. We look forward to a good fourth quarter and a good 2009. Thank you.